Operator: Good afternoon. Thank you for joining us today for 5E Advanced Materials Fiscal Second Quarter Conference Call. During this call, management will be referencing our Form 10-Q that can be found in the Investor Relations section of our website. For a copy of our Form 10-Q, you may contact PRA Communications at team@pracommunications.com or go to our Investor Relations page on our website. As a reminder, the remarks made on today's conference call will contain forward-looking statements, including our expectation of future results, costs, production capacity, market dynamics, liquidity, cash spending, financing, objectives, and options, and other items. Our actual results may differ materially and adversely from those projected or discussed in these forward-looking statements. Additional information concerning factors that could cause the results to differ materially and adversely from these forward-looking statements are contained in our disclosures in our public filings with the SEC. The company is under no obligation to update forward-looking statements. Today's call may also include a discussion of non-GAAP financial measures, as that term is defined in Regulation G, non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in compliance with GAAP. This afternoon's conference call is hosted by 5E's Chief Executive Officer, Paul Weibel. Management will first lead off the call. By making some prepared comments, after which we will open the call to your questions. I'll now turn the call over to Paul.
Paul Weibel: Good afternoon, everyone, and thank you for joining us today. The second fiscal quarter of 2026 marked another step forward in a transformational year for 5E Advanced Materials and for boron in the United States. Q2 was defined by execution, validation and advancement turning the strategic momentum we discussed last quarter into tangible progress across financing, customer engagement, critical minerals awareness, resource expansion and project readiness. Last quarter, we spoke about alignment, alignment between market fundamentals, U.S. industrial policy the 5E's position as the most advanced domestic foreign development assets. This quarter, that alignment was translated into measurable progress. Before diving into the details, let me briefly summarize this quarter's key highlights. First, we continue to advance federal financing engagement building on boron's designation as a critical mineral and deepening discussions across multiple agencies aligned with critical minerals, supply chain security and advanced manufacturing. Second, we made further progress on customer validation, expanding to successfully complete a full-scale glass trial, which has progressed commercial discussions with future customers following our initial large-scale shipment and successful trial. Third, we advanced engineering and pre-FID work streams, maintaining alignment with our objective of reaching a final investment decision. And finally, we continued strengthening the long-term foundation of the Fort Cady Project, including mineral tenure, substantial increase in our mineral resource estimate, technical differentiation as we filed an omnibus patent that covers our in-situ leaching mining process and strategic positioning as a next-generation boron producer. Altogether, these milestones reinforce that 5E is moving decisively from development towards execution. I want to start again with the market backdrop because it continues to underpin the fundamental economic opportunity in front of us. The global borates market remained structurally tight with Turkey, controlling approximately 70% of global reserves and approximately 65% of global production. Turkey is to boron what China is to rare earths. The U.S. legacy supply continues to face rising costs, declining grades and limited flexibility, while demand for boron-based materials continues to expand across energy transition technologies, advanced manufacturing, national defense and to high-performance glass and ceramics. What has become increasingly clear through customer discussions and trials is that security of supply, jurisdiction diversification and reliability now matter as much as price, which all play directly to Fort Cady strikes. Fort Cady is a long-life, scalable U.S.-based asset that aligns with national supply chain priorities. Since boron's conclusion on the USGS Critical Minerals list, engagement with strategic stakeholders has increased. The designation has moved boron and Fort Cady from a niche industrial mineral conversation into a broader national supply chain discussion. That is an important shift and one that continues to open doors. Building on what we outlined last quarter, we made additional progress across federal financing pathways. We remain engaged with the U.S. export Import Bank under the make -- more in America framework, where 5E holds a previously issued letter of interest. During the quarter, we further advanced discussions about how Fort Cady aligns with U.S. export competitiveness, downstream manufacturing and supply chain resilience. We also progressed work related to the XM engineering multiplier program, which is designed to support advanced engineering activities on a non-dilutive basis. This effort was slightly delayed given the fall of 2025 government shutdown, but we will formally kick off with XM underwriting team next week. As a reminder, this program has the potential to fund a significant portion of our FEED activities and further derisk the project ahead of FID. In parallel, we continue to evaluate opportunities across the Department of Energy's loan programs office, the Office of Strategic Capital and the U.S. Development Finance Corporation. Each of these frameworks are now directly accessible as a result of boron's critical mineral designation. As part of our federal engagement, we submitted a detailed application to the Department of Energy's mines of the future, NOFO, which provides non-dilutive funding for projects, piloting advanced mining and processing technologies. Fort Cady aligns with eight of the nine DOE focus areas in this NOFO, demonstrating that we are not just a boron development project, but a technology forward next-generation critical minerals platform. The DOE is expected to announce winners next month. While the program is highly competitive, Fort Cady's technical sophistication, strategic partners and alignment with U.S. priorities makes 5E a compelling candidate. With the DOE expected to announce winners next month, our objectives remain clear. To construct a capital-efficient financing strategy that strengthens the balance sheet and supports long-term shareholder value. Operationally, the Fort Cady project continues to progress in line with our development road map. As discussed previously, our pre-feasibility study confirmed a strong economic foundation, including a nearly 40-year mine life based only on our proven and probable mineral reserves and compelling project economics based solely on Phase 1 of the development cycle. That foundation continues to guide our engineering and our execution strategy. During Q2, our team continued advancing fee-related work streams. Refining process design, infrastructure planning and execution sequencing. These efforts are focused on ensuring that Fort Cady is construction ready, not just permitted or engineered on paper. In parallel, we advanced initiatives to strengthen long-term mineral tenure to find and expand our mineral resources and began laying the groundwork for a portfolio of intellectual property related to our proprietary in-situ recovering and processing approaches. As the largest chlorate producer in the U.S. undergoes strategic review, we believe the IP for our recovery and processing technology can play a pivotal role in expanding the resource life and improving economics at this producer. While the Omnibus patent was a strategic move with the anticipation that our IP can be accretive to the strategic review process. These efforts are designed to protect competitive advantages and support scalable long-term growth. On the commercial front, Q2 represented continued momentum following the successful shipment and trial for the glass trial, we expanded engagement with additional customers across multiple applications. And this now includes specialty applications such as Ferroboron, a critical component and permanent magnet manufacturing. Importantly, commercial discussions for boric acid are now increasingly centered on commercial structures and long-term supply relationships rather than just technical qualifications. Each successful trial, shipment and validation milestone brings us closer to offtakes. As we look toward the remainder of fiscal 2026, our priorities remain focused. First, we'll progress customer engagement towards commercial discussions, converting validation and discussion into structured offtake agreements. Second, we'll execute our pre-FID and FEED work streams with discipline, ensuring 4K is the next long term borate producer in the United States. Third, we will continue advancing non-dilutive federal financing pathways, leveraging the critical minerals designation to access larger and more strategic pools of capital. Layered on these three objectives will be the specialty boron work stream where Ferroboron has become a priority with the goal of providing magnet-grade Ferroboron to potential customers for testing in late spring. We remain committed to moving methodically, derisking each stage of development and building a project that is durable, scalable and strategically aligned with U.S. priorities. In closing, Q2 reinforced that 5E is moving decisively from development towards execution. We operate in a market that values a secure fully integrated domestic supply chain, and we are aligned with U.S. policy priorities. With these tailwinds, 5E is positioned to become the next major U.S. boron producer creating long-term value for shareholders. Thank you to our employees, partners and shareholders for your continued support. We look forward to updating you again as we continue advancing towards construction and commercial production. With that, we are ready to open up the line to any questions.
Operator: [Operator Instructions] Okay. There are currently no questions in the queue. I'd like to turn the floor back over to Paul for any closing remarks.
Paul Weibel: Thank you, everyone, for joining us today. We believe 5E has a rare opportunity to become the next major boron producer globally and the leading domestic supplier in the United States. Fort Cady is a long-life asset with a clear development path, and we remain focused on executing responsibly and creating long-term value. We appreciate your continued interest and support, and we look forward to speaking with you again.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.